Operator: Greetings, and welcome to the Proto Labs, Inc. Third Quarter 2014 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Bill Dietrick, Vice President of Marketing. Thank you. You may begin.
Bill Dietrick: Thank you, operator, and good morning everyone. This morning, before the market opened, Proto Labs issued a press release announcing its third quarter financial results for the period ended September 30, 2014. The release is available on the company’s website at protolabs.com. Before we get started, during the course of this conference call, the company will provide financial projections and make other statements about its business that are forward-looking and subject to many risks and uncertainties that could cause actual results to differ materially from expectations. A detailed discussion of the risks and uncertainties that affect the business is contained in the company’s Annual Report filed on Form 10-K and other SEC filings, particularly under the heading Risk Factors. Copies of these filings are available online from the SEC or on the Proto Labs website. The company’s projections and other forward-looking statements are based on factors that are subject to change, and therefore these statements speak only as of the date they are given. The company does not undertake to update any projection or forward-looking statement. In addition, to supplement the GAAP numbers, we have provided non-GAAP adjusted net income and basic and diluted net income per share information that excludes the after-tax cost of stock compensation and amortization of intangibles. We believe that this non-GAAP number provides meaningful supplemental information and is helpful in assessing our historical and future performance. A table reconciling the GAAP information to the non-GAAP information is included in our financial release. Now I’d like to turn the call over to Vicky Holt, President and Chief Executive Officer of Proto Labs. Vicky?
Vicky Holt: Thank you, Bill. Good morning, everyone. Thank you for joining us today, on our third quarter 2014 conference call. With me today is Jack Judd, our Chief Financial Officer. I’d like to begin with an overview of our third quarter 2014 financial results. Then I’ll provide an update on Fineline Additive Manufacturing and our new services, followed by more in-depth discussion of our Protomold parts business. Finally our [ph] story of another Cool Idea! Winner. I’ll then turn the call over to Jack, who will provide a more detailed look into our financial results, and offer our views on the outlook for the fourth quarter of 2014. We will then be glad to take your questions. I’m pleased to report that Proto Labs has once again achieved record revenue. Third quarter revenue was $54.6 million, a 30% increase over the third quarter of 2013. Our third quarter revenue includes $3.4 million of additive manufacturing services or 3D printing from our Fineline acquisition. Without these revenues third quarter revenue would have been $51.2 million, an increase of 22% over the prior year. In addition to revenue, the number of product developers who use our service during the quarter is a key growth metric. We have not yet completed the integration of the Fineline legacy Proto Labs product developers and the customer databases, therefore the product developer and customer numbers we present today exclude Fineline. Our legacy Proto Labs revenue in the recent third quarter came from nearly 8700 unique product developers, a 19% increase over the third quarter of 2013 in a meaningful sequential increase from 8200 product developers in the second quarter. Revenue growth in the US was 34% compared to the third quarter of 2013. Excluding revenue from Fineline, US revenue growth was 26%. In local currency revenue in Europe during the quarter was flat with prior year while revenue growth was 24% in Japan. Global consolidated Proto Labs net income for the third quarter of 2014 was $10.4 million or $0.40 per diluted share. This compares to $8.9 million or $0.34 per diluted share in the same quarter of 2013. Excluding the after-tax cost of stock compensation and amortization of intangibles, the non-GAAP EPS was $0.44 per diluted share during the third quarter of 2014. Our record revenue and strong profitability in the quarter were achieved in the face of a notable slowdown of the business environment in Europe. The headwinds in European economy hit us directly this past quarter and were the major reason our quarterly results were at the low end of our forecast. Because of this our future forecast will be conservative until we see improvement in the European economy. We continue to make great progress with our Fineline acquisition. Revenue this past quarter of $3.4 million exceeded our forecast and represents a 38% increase over the prior year. Sequential past quarter – sequentially this past quarter grew 15% over the total Fineline second quarter, including revenue both pre and post-acquisition in the quarter. This strong revenue growth is evidence of the quality of our marketing and sales engine. We have significantly increased our additive manufacturing capacity in Raleigh, North Carolina over the past several months. Through purchases of additional equipment our capacity has grown by 50% through the acquisition, and with more equipment scheduled for delivery this quarter our capacity will increase another 30%. We are also making progress integrating our websites and now have Fineline content on the Proto Labs website. We also expect to launch quick-turns in Fineline stereolithography or SLA in this fourth quarter. We are accumulating many great stories of how our customers can leverage our services and drive expansion for Proto Labs. One recent story was regarding a new Protomold customer. He was early in the product development process with an uncertain design which needed to be tested. He knew he would eventually need Protomold injection molded parts in the specific thermoplastic for optimum performance for final testing. But with an uncertain design he was hesitant to move forward with the mold which might need to be changed. As an alternative, he sent the CAD file to Proto Labs Fineline additive services to get a quote using one of our less expensive ABS light materials. He was also to do functional assessments from this material and understand what changes needed to take place in his design before moving to molding. The Fineline parts performed properly for testing and the product designer was able to revise the final design and move forward with all three molds with Protomold. Fineline gave him confidence in his final design and the parts turned out as expected. Our speed, efficiency, and breadth of services enabled the customer to produce a 3D printed parts, make the appropriate design changes, finalize the design and get prototypes made and still meet the project timeline. Doers like this happen every day. Moving to our new materials, we remain very pleased with progress with liquid silicon rubber and metal injection molding. I expect our revenues from these new services will be approximately $3 million this year. As I’ve said in the past, both these opportunities are significant and should play a larger role in our revenue goals for next year. We continue to introduce new capabilities to our customer base and we feel confident in our execution, and we’ll be purchasing additional equipment in our fourth quarter and early next year to support higher revenues for these services. We continue to be in a soft launch phase with late turned parts in Firstcut. Our engineering teams review quotes to find examples of parts that should be turned versus machined and seek feedback on quality from our customers. We remain positive on this newest addition to Firstcut and look forward to a full launch in both, North America and Europe in early 2015. Another exciting update in Firstcut is that we are now offering same day service in additional important differentiation from traditional services providers. A significant part of our business and often times overlooked is production parts business done as part of Protomold. We’re much more than just prototyping. There is about a 50% chance that after making a mold, and sending samples to customers we will run additional parts on that mold at least once. Our parts business has predictability but not visibility like many of the rest of our services. We have told stories in the past of last minute orders with tight timelines for tens of thousands of parts on each of several molds delivered in days. While these are great stories, the vast majority of our parts business comes in orders of a few hundred to a few thousand. The reason for the relatively small orders are many, including the need for marketing samples, production testing, or just as the full production only requires small quantities. Our business is perfectly set up to handle demand for low volumes of parts efficiently and cost effectively. In any one corner, the customer should choose to have use run more parts, can almost – can be almost a totally different population compared to the next quarter. That’s okay with us, our factories are set up to handle this kind of demand and generate high profits. Starting in 2013 our parts business growth rate exceeded the growth in molds. Rather than being the historic 50% of Protomold revenue parts are now 53% of that total. This percentage increase is also evident in the metric we provide on average revenue per unique product developer which has grown on average 6% per quarter from Q1 2013 through Q2 2014. A portion of the increase in this metric is from additional orders for parts coming from our current product developer base. I’m sure there are many macro trends in manufacturing that have contributed to this increase such as shortening product lifecycles and mass customization. This is positive news for Proto Labs because low volume production fits our business model perfectly. Proto Labs automated frontend and efficient low volume production positions us very well to service this business profitably. We’ve also seen that our parts order flow can be an early indicator of business trends. During the 2013 revenue from our parts business was up 40% compared to 2012. Through the first six months of 2014 revenue was up 30%. During the just completed quarter our parts revenue grew 19%. This lower growth rate in our parts business was especially pronounced in Europe as parts revenue was down 6% compared to last year’s third quarter. During the recession of 2008-2009, we saw a slowdown in demand for our parts but less so in other areas of our business. We believe our European business will be on the rebound when we see Protomolds parts revenue increasing again. Turning now to our Cool Idea! Award program. This program continues to help innovative ideas come to life. Our most recent winner was Chicago based start-up Strive Technologies. Their creative idea is a wearable device called AMPY which lets users discretely capture and convert their physical activity into charging power for their smartphones. The compact device can be strapped to a person’s arm, leg or hip, where it charges anytime movement is detected. A user that can then plug their smartphone into AMPY to restore the phones battery life. Proto Labs provided the creative team with the tooling and subsequent low volume injection molded production run the plastic AMPY clips in housings. The Cool Idea! Award is one example of creative and interesting ways our marketing team generates interest in our service offerings. And finally, before I turn the call over to Jack to review our financial results in more detail, I do want to provide a short update on our search efforts to find our next CFO. We are actively interviewing great candidates and expect to have Jack’s replacement on board before the end of the year. I will now turn the call over to Jack for further comments on our financial performance. Jack?
Jack Judd: Thank you, Vicky. Revenue during the third quarter of 2014 was $54.6 million, an increase of $12.6 million, or 30% over the same quarter in 2013. Additive services revenue or 3D printing relating to our acquisition of Fineline in April was $3.4 million. Without this revenue related to the acquisition our revenue would have increased $9.2 million or 22% when compared to the previous year. Protomold and Firstcut revenues were $35.7 million and $15.5 million respectfully. Revenue splits between our Protomold, Firstcut and Fineline services were 65%, 29% and 6%. International revenue during the third quarter of 2014 totaled $13.8 million, or 25% of total revenue compared to $11.4 million or 27% during the third quarter of 2013. The positive effects of currency were approximately $600,000 this past quarter. Within our legacy Protomold and Firstcut services during this past quarter we did business with 8680 product developers, this represents an increase of 19% over the same quarter of 2013. Average revenue for product developer increased 3% from the previous year. On a year-to-date basis, our revenue to the first three quarters of 2014 is 29% higher than the prior year and excluding revenue from Fineline our revenue was 24% higher. Our gross margin decreased to 60.6% for the third quarter of 2014 from 61.8% of the year before. We estimate the impact our gross margin due to the lower gross margin on our additive business to be approximately 1.1 percentage points. We currently have active projects ongoing to increase the gross margin of our additive business such as offering quick-turns as Vicky mentioned earlier, and over several quarters we expect the gross margin will approach those of Protomold and Firstcut and we will continue to stay within our target model. Operating income was $15.4 million in the third quarter of 2014 compared to $13.4 million in the same quarter of 2013. As a percentage of sales 2014 operating income was 28.3%, in 2013 it was 31.9%. Year-to-date our operating margin is 29.9%. Our inside selling force and customer support employees totaled 189 at the end of September, an increase of 42 employees from December 2013. Diluted earnings per share in the third quarter of 2014 were $0.40. After adding back the after-tax cost of stock compensation and amortization of intangibles, our non-GAAP diluted earnings per share in the quarter were $0.44. A reconciliation of net income and EPS to non-GAAP net income and EPS was included in our earnings release this morning. Our capital spending on capital year-to-date through September totaled $35.9 million and includes $13 million related to our Plymouth facility and $7 million related to our purchase from our manufacturing facility in Telford, England that was completed in May. At the end of September 2014 our cash and investments totaled $118.9 million. I would now like to provide some guidance into our projected results for the fourth quarter of 2014. Including FineLine’s results, we currently expect revenue in the fourth quarter of 2014 to be in the range of $53 million to $56 million. Of this amount, our additive services or 3D printing revenues are forecasted to be approximately $3.5 million. Stock compensation costs in the third quarter will be approximately $1.4 million. Amortization of intangibles related to Fineline will be approximately $185,000. Taking into consideration all of the above our expected quarterly non-GAAP EPS will be between $0.40 and $0.44. Our guidance philosophy will be conservative in light of the effect of our European performance this past quarter. We reaffirm our long term target model of 25% growth in GAAP operating income of 29%. Our capital spending during 2014 will total approximately $44 million of which nearly half will be for the building purchases noted previously with the remainder being heavily weighted for new equipment and support growth for our present and new services. This concludes our prepared remarks. Operator, we will now open up the call for questions.
Operator: Thank you. (Operator instructions) Your first question is coming from the line of Troy Jensen with Piper Jaffray. Please proceed.
Troy Jensen – Piper Jaffray: Thanks for taking my question. Good morning Jack, Vicky.
Vicky Holt: Good morning, Troy.
Jack Judd: Good morning, Troy.
Troy Jensen – Piper Jaffray: It looks like Europe is really kind of the only issue here in the quarter. I guess I’d be curious to know was it mute [ph] all quarter, did you see deterioration in Europe in the last few weeks of the September quarter?
Vicky Holt: Yes, actually the deterioration would have been early in the quarter, little bit of pick up towards the end but it was – it was a weak quarter primarily in parts as I mentioned, molds and Firstcut were not as impacted as parts. And as you know our part businesses, we’ve got predictability but not visibility when we look at that business.
Troy Jensen – Piper Jaffray: I now listened by your guidance there has been no sense of improvement in the month of October?
Jack Judd: I think the way we’re approaching this is that you will see better guidance as we’ve had a better quarter in Europe. I just think that it makes sense for us to be very conservative than what we expect out of Europe until it’s actually happened.
Troy Jensen – Piper Jaffray: Okay. How about you pick back on the some of the new services, specifically the wave capabilities, the one’s in soft launch right now? When do you expect a hard launch and do you expect a ramp to be equipped in what we’ve seen at dollar side?
Vicky Holt: It will be in first quarter. The choice is first part of first quarter but we really got to be ready. As you know when we go through soft lines we not only are tasking to make sure our quality is what it needs to be and making sure there aren’t any bugs in our software because when we turn the switch on we got to be able to process quotes as well as orders in a very automated fashion in Firstcut, so we got to be ready. But I would – at same time early in the first quarter ramp for this will quite be somewhat similar to LSR and then it takes a while for the customers to understand we’ve got the new service offering in hand and how they need to use it. So we will be doing some pretty aggressive marketing to product developers and engineers who have indicated to us in the past that they would like to see turned parts. So we’ll be going directly to them to let them know we now have that service available, but again they’ve got to have a project ready for it as well. So I would anticipate it be the similar kind of ramp as we launch new service.
Jack Judd: Keep in mind also Troy that we currently do produce parts in a milled process that should be laid, so some of our business that will be laid will be business that we had before but it was milled, and so I’m not so sure you can just look at how many much revenue we did, will laid be able to accurately reflect how much did impact our revenue. So we’re very, very positive on it because I think it will help us be more competitive on parts.
Vicky Holt: Absolutely. So far the response that we were doing more and more parts every single month and response from customers has been extremely positive.
Troy Jensen – Piper Jaffray: I understand. Good luck in Q4.
Vicky Holt: Thank you.
Operator: Thank you. The next question is coming from the line of Brian Drab with William Blair. Please proceed with your question.
Brian Drab – William Blair: Hi, good morning.
Jack Judd: Good morning, Brian.
Vicky Holt: Good morning, Brian.
Brian Drab – William Blair: I think I might be missing something, I just want to clarify on Europe, your reported revenue is up 9% year-over-year but you’re saying flat organic, but there is an FX headwind. Can you help me reconcile all this?
Jack Judd: There was a FX benefit in Europe in the quarter and so while in dollars it looks better on a Pound/Sterling basis, it was flat. So I’m sure it’s going to be conservative, I don’t want the market to be thinking that the 9% was anything besides currency.
Brian Drab – William Blair: Okay.
Jack Judd: By the way, we knew going into the quarter that there was going to be currency benefit so it isn’t that the currency was not planned on our part.
Brian Drab – William Blair: You’re recording revenue in pound?
Jack Judd: No, we record revenue for our financial statements in dollars but when I…
Brian Drab – William Blair: Your sales though I’m saying – your sales that are in pounds in Europe?
Jack Judd: Yes.
Brian Drab – William Blair: Right, okay.
Jack Judd: But when we’re doing comparisons on a geographic basis in this call I always like to do it in constant currency so that we don’t mix in the effective currency in a positive or negative.
Vicky Holt: So we sell in Germany and France in euros and convert that to pounds. Like as I said before, as Europe is primarily in the parts business we still had very strong consistent growth in our number of product developers that we’re reaching and even number of new customers. The parts business tends to reflect the economy more because it tends to be production.
Brian Drab – William Blair: Yes, understood. I was just trying to understand the FX impact because if we are just translating back euros to dollars then – but I think I was missing that the pound is playing a significant role here and it actually had an FX benefit. So thanks for clarifying that. And then you mentioned I think that you just – a moment ago the parts business in Europe kicked up a little bit in September?
Vicky Holt: No, not like – the biggest impact of the shortfall quarter-to-quarter was probably felt more in the July-August timeframe but it didn’t really – I mean it was the quarter – the parts business was weak.
Brian Drab – William Blair: Okay. And then Vicky can you talk a little bit about the sales initiatives, changes that you’re planning to make or making in terms of targeting customers at the top and selling down as you say?
Vicky Holt: Right. So why the deep – yes, perfect, great question Brian, and it’s going very well. We’re much, much further along in that strategy by the way in North America where we have national account managers in place who are going wide and deep with strategic customers and it’s going quite well. When we look at the data in the United States, our sales growth with our Top 100 customers are several basis points ahead of what our average is, recognizing then that our sales growth with these larger accounts is actually happening at a much faster rate than the business at large. So definitely working, you can see that in the product developer database as well. So we will be bringing that approach into Europe in 2015 looking to launch some of our first new found national account managers there as we go into 2015.
Brian Drab – William Blair: So how many people have you added or directed to just focus on this initiative? And then secondly, have you landed any big wails [ph] yet or are getting close to in terms of a big customer that is going to use Proto Labs as now their preferred injection molding provider or rapid manufacturing provider?
Vicky Holt: Okay, in terms of people we’ve got as we look at our customer facing team here in The United States we have about 110, we probably have about 10% of that focused on wealth improve – alright, so there are 15% focused on NAM, those are national account managers. When you talk about big wails that’s a great question because we do have some very large customers who use us in strategic ways but usually it starts in one division and we become a preferred small volume prototyping partner in a division and then we’ll move to the next, that’s why the wide and deep strategy is so effective because we can begin in full trading across divisions within these companies. So when you say big wails we still don’t have what I call lot of customer concentration or anything like that but we are – the strategy is definitely working with being able to become a lot more strategic with some of these customers.
Jack Judd: Yes, and I don’t think that our business ever will be in a situation where you come in one day and evolve of a sudden pick up in a counter where you’re going to give $4 million or $5 million worth of business overnight. This business is going to be built by selling product developer by product developer. By going deep and wide we just hope to speed up the introduction phase and use the processes to successfully sell one division of a large company, use it another division in the same company.
Brian Drab – William Blair: Okay.
Vicky Holt: And we will also always be focused on that, innovations through low volume production, so we will not be a large volume contract manufacturer out there.
Brian Drab – William Blair: Okay, I understand. What I maybe don’t understand Jack on your last comment is why could you not go into a large manufacturing firm, convince them about your compelling value proposition and have it so that in their system at some point, when an engineer wants to – it comes so far when they need to decide the fate, they need injection molding or some other process wide Proto Labs wouldn’t be in some sort of dropdown menu as the preferred provider, that type of partnership with bigger companies just because your offering is so unique why can’t you get to that phase? It seemed like you backed off a little bit or you’re indicating you wouldn’t be able to do that Jack.
Jack Judd: Well I don’t want to make it sound like that’s not our goal but you have to – like we have to reflect the reality of how purchasing departments work in large companies. But especially as dynamic and great our offering is for prototypers, there is lots of things we can’t do for them. So even in the best circumstances product development departments are going to have to have some level of relationships outside of what we can do for them. So that’s a little bit of the reality of the matter and – but we do strive to do as much as we can for product developers but we’re still growing on this.
Brian Drab – William Blair: Okay. I’ll follow more later. Thanks.
Operator: Thank you. Our next question is coming from the line of Jim Ricchiuti with Needham & Company. Please proceed with your question.
Jim Ricchiuti – Needham & Company: Hi, thank you. Good morning.
Jack Judd: Good morning.
Jim Ricchiuti – Needham & Company: The question I had is – thanks by the way for the color on the parts business, that’s helpful. And I was wondering is Europe typically a bigger customer for you in terms of the parts business? In other words, does that tend to be – is that business skewed more to that versus North America?
Vicky Holt: No.
Jack Judd: No.
Jim Ricchiuti – Needham & Company: Okay. So just looking at what you saw in Europe during the quarter were there any particular verticals that stood out as being weakening or was it kind of across the board?
Vicky Holt: That was pretty much across the board. So it really is – you can point to a few – as what our parts business, you mentioned that we’re – when we get benefit from the effect of products have a fairly short product lifecycle in which case though they might choose us for their part supplier, with that you also have programs that fall off. So you will have parts business for a period of time, the product has a pretty short product lifecycle and then it will fall off. So we’ve got that impact plus the impact that some of it is production and it will be more impacted by actual economic conditions in the quarter.
Jim Ricchiuti – Needham & Company: Got it. And Vicky, how would you characterize the parts business in North America as you went through the quarter?
Vicky Holt: It was fairly strong, it was pretty typical.
Jim Ricchiuti – Needham & Company: Okay.
Jack Judd: Very much what we thought it would be going into the quarter.
Vicky Holt: Yes, really it meant that the whole reason we came in at the lower end of our guidance was really that European parts business. And that’s why we’re being pretty conservative of what we forecast in the fourth quarter until we see that recover.
Jim Ricchiuti – Needham & Company: Got it. One final question if I may, just – I think you said that you’re looking LSR and them to generate revenues of around $3 million for the year for 2014?
Vicky Holt: Yes.
Jim Ricchiuti – Needham & Company: Is – were the revenues needed for in Q3, is this something you expect to ramp up more in Q4?
Vicky Holt: It’s ramping up every quarter. So remember we launched these services in the second quarter and very similar to the comment that I have with the question around, our late turn part, it takes a while for developers to understand the services out there and to reach out to us on the website and give us that order – they’ve got a project out there that fits that material and fits that process. So it just takes a little time to educate them and that’s why it’s a ramp but each quarter sequentially gets a little bit better as we reach more and more developers and we help them understand what the service can do for them and they try us out on a part that has that benefit from that, particular material or process.
Jack Judd: The ramp up in sales on the new services is really not that much different than we experienced back in 2007 and 2008 with Firstcut. So it’s dynamic and nice of a service that Firstcut is right now. It started out where you would sell a few hundred thousand dollars’ worth of Firstcut parts in a quarter.
Jim Ricchiuti – Needham & Company: Okay. And Jack, R&D was up quite a bit, was there anything unusual about that, should that be the level we should be thinking of going forward, moving it up?
Jack Judd: In some of the greater spending in R&D is reflected because of the integration activities we have with Fineline on the software side but I still think that overall our R&D should be between 7% and 8% like our target model states.
Jim Ricchiuti – Needham & Company: Got it. Thanks very much.
Operator: Thank you. Our next question is coming from the line of Andrea James with Dougherty & Company. Please proceed with your question.
Andrea James – Dougherty & Company: Thanks for taking my questions.
Jack Judd: Good morning.
Andrea James – Dougherty & Company: Good morning. Is there a way to think about how much more business you can capture that you were previously turning away with the new LSR/MIM services and was that the $3 million figure that you were citing?
Vicky Holt: So the LSR and MIM is what we – we expect $3 million of sales from those new services in 2014, and again, that will be ramping. We have to come out with an exact total available market estimates for LSR and MIM. We’ve kind of lumped that into our total injection molding segment. We do think that sales revenue for those materials will be more significant as we go into 2015.
Andrea James – Dougherty & Company: No, I appreciate that. And then is there – does the way you guys focus your R&D as I understand it, as you’re able to see – you get the files uploaded and you’re able to see what you’re turning down and then come up with new services based on that. And is there sort of a ratio that you can give or any color there on – how that’s been changing overtimes? Does that question make sense like, especially where the edges – go ahead.
Vicky Holt: It does make sense. So we do look at the percent of uploads that we can turn hit around and quote, and the ones that actually turn into orders. So – and we look at all that data every single day, also we inform our R&D efforts from voice of the customer conversations that we have with what the customers would like to see as a new service. So that’s how we add our new processes as well as our envelope expansion. So we collect data on – for example parts that should be turned, yet we mill, that’s the late program. We estimate that about half of the machining, total available market probably could benefit from turned parts versus what we do with milling and we’ve been attacking that market with milled parts, parts which aren’t as efficient and the quality is different for those. So we think that will allow us to more effectively go after that total available market for machine parts that’s laid. So liquid silicon rubber and metal injection molding product line is really included – the materials is included in that total available market we’ve identified for injection molding products within our attempt [ph].
Andrea James – Dougherty & Company: Wonderful. And then just – I’m trying to understand your focus, when you say that the parts are tied to production do you mean, and you say is opposed to prototype?
Vicky Holt: Correct, correct. You know some of it might be market sampling, some of it might be gearing up with more products for extensive testing but some is also production. So the sampling is done and we sell a mold, we send a sample for the product. So what’s in 25 or whatever the customer wants in terms of the sample, that’s what I would call prototyping but then about half of our customers that buy mold from us, I mean take those parts, it will actually come back and get more parts of that mold, that’s what we call a production business.
Andrea James – Dougherty & Company: Okay. And so that would be tied in part to consumer spending then?
Vicky Holt: Yes, exactly.
Andrea James – Dougherty & Company: Okay.
Vicky Holt: And remember we have a customer base that pretty much reflects industrial production, say you’ve got automotive in there, consumer, industrial machinery. And so as your industrial production goes down you’re going to see some of our customers being a little bit more conservative on inventories and what they build and little bit of adjustments that take place, and I think we see the more in that parts business, of course then we do in the mold because innovation continues to take place and Firstcut and our Protomold mold business as well as our additive manufacturing business tends to be earlier in that product development lifecycle.
Andrea James – Dougherty & Company: Got it. Thank you, that’s very helpful. Thank you, I appreciate it.
Vicky Holt: Okay. Thanks, Andrea.
Operator: Thank you. Our next question is coming from the line of Scott Smith with Morgan Stanley. Please proceed with your question.
Scott Smith – Morgan Stanley: Good morning.
Vicky Holt: Good morning, Scott.
Scott Smith – Morgan Stanley: Just a follow up on that Vicky. So are you seeing any change in the quoting activity or conversion rates even, within both the US and then in Europe, the side from the product [ph] business?
Vicky Holt: No, no. We continue to work on that so we can be aware to make sure we get high quality prospects determined to upload determined to customers. We have launched in both, US and Europe, the process launching in Japan, what we call a Proto Labs proposed revision which allows – which turns back to the customer projections in order to make their quote orderable with that first rave so to speak. And we actually have seen improved close rates from the customers that use our Proto Labs proposed revision. We’re only right now having little over 10% of our quotes are eligible for Proto Labs proposed revisions but we get a several percent point improvement in close rate with that. So we see that a little bit in some of our metrics starting to trickle in in the third quarter, so that’s helping. I think you will see that reflected in some of the great and good metrics that we’re showing in terms of new product developers joining, being added.
Jack Judd: Here is a little bit of nugget for you, two on the parts business in quoting. As the majority of our parts business does not have a code of cash to it, it just comes to us through appeal [ph]. We tell the customer what parts will cost when they get a mold but they won’t come in and put a quote in and then ten days later put an up order and also that quote. So we have even less visibility on parts than we do on mold.
Scott Smith – Morgan Stanley: Got it, that’s helpful. And then a follow up on that, it sounds like in your guidance you’re not assuming any change in the number of unique product developers, it’s really in the revenue per developer and a lot of that is a function of the parts business. Is that the right way to think about it?
Jack Judd: We are going to be very conservative on how – especially in Europe, and how Europe recovers in the fourth quarter. We still expect good growth from product developers like we’ve had in the past, but I think parts business, we’re assuming parts business will be very weak in Europe in the fourth quarter.
Vicky Holt: And to build on that I think you hit it, you really got that correct Scott and with that long term prospects, I still feel very, very confident in where we’re going, and with our target model and with our growth rates because we’re getting the penetration that we’ve expected to be getting with new product developers and customers. So all is going well there, the services are going great. I think we’ve hit it right with what’s going on with the parts business in Europe.
Scott Smith – Morgan Stanley: Okay, great. Thank you.
Operator: Thank you. The next question is coming from the line of Jason North with Jefferies. Please proceed with your question.
Jason North – Jefferies: Hi, could you go through the puts and picks here looking at gross margin and looking at – for the view point of like excluding – mainly focused on the US ex-timelines excluding the Europe impact here for the quarter and for Q4 as well.
Jack Judd: Well, we don’t disclose gross margin by geographic market. I have said in the past, not necessarily in Japan because it doesn’t have enough volume. But the gross margin between Europe and the United States is very similar, we don’t have a pricing difference or a cost in production difference that would change our gross margin by geography. I did say in the script that Fineline affected our gross margin or consolidated gross margin by about 1.1 percentage points, and you will notice that we’re still within our target model. We would have – without Fineline we would have been at steep upper end of our target model. So our manufacturing is high, we still believe it performs wonderfully in an environment that we have.
Jason North – Jefferies: Okay. Actually I was looking for qualitative statements for the US not in absolute number but how it’s kind of trending here.
Jack Judd: Our margin in The United States is strong, and tends to be consistent from quarter-to-quarter.
Jason North – Jefferies: Okay, great. Thank you.
Operator: Thank you. Our next question is coming from the line of John Baliotti with Janney Capital Markets. Please proceed with your question.
John Baliotti – Janney Capital Markets: Thanks, good morning.
Jack Judd: John, good morning.
John Baliotti – Janney Capital Markets: Hey Jack, how are you?
Jack Judd: Good.
John Baliotti – Janney Capital Markets: Vicky, on a secular base, I mean obviously Europe now prefers to call out that there is some slowdown going on over there, how are you without creating a leading question but how do you take advantage of that long term with customers there?
Vicky Holt: Well, you know again – I think our model is very, very strong with small volume production and innovation, and as you know when you go through various kinds of economic downturns it is from initial reaction but then there is still the need to innovate and need to differentiate yourself. So we continue to work, I mean customers are still very, very active with us for lots of programs that are underway. And we really do – are really doubling down on sales and marketing in the EU with some additional investments there, we’re adding some sales people in each region of Europe right now.
John Baliotti – Janney Capital Markets: Are you able to reinforce the idea that using Proto Labs not just for the initial design work but given their pull back, let’s say economic pull back or slowdown that using you is more variable cost is a long term benefit for them?
Vicky Holt: Right, exactly. So you don’t – as customers don’t have to buy a big batch of product, they can buy what they need. So if they’ve got demand that’s less predictable, we’re a very good supplier for them.
John Baliotti – Janney Capital Markets: Right. And also the equipment obviously, my thinking is that in times like this they start to think about their own manufacturing capacity whether it’s the upfront low volume work or the design work and if they do shrink their business a bit, maybe they don’t need those people to come back because of what they can do with you.
Vicky Holt: Yes, that’s a potential outcome too.
John Baliotti – Janney Capital Markets: You mentioned Jack in the release about R&D being having included in there some of the integration activity for Fineline and I know you’ve talked about 6% to 8% or sort of that target range in 8% if opportunities lend themselves. Anyway to – and it’s been sort of that 7.5% up for this quarter. Was Fineline a meaningful portion of that pick up or is it just more opportunity in general for the business?
Jack Judd: The extra spending, it was mostly related to the integration efforts with Fineline.
John Baliotti – Janney Capital Markets: Okay. So as you pointed out with gross margin, the 1.1% impact that you expect to moderate overtime, do you still see this as kind of – because the marketing percentage of sales, G&A percentage of sales are all pretty much in line with the first half of the year, so it seemed like you’re able to keep those pretty efficient. So do you expect R&D to kind of moderate, again back to – have you been thinking about that long term?
Jack Judd: Yes. And since you’re asking a lot of questions and we didn’t say it specifically in the script, I think it’s pretty significant that we were able to bring an acquisition on board in April and it was actually accretive to us by a little bit in this past third quarter and so even with all that integration activities it was still positive to us.
John Baliotti – Janney Capital Markets: Yes, I mean – because normally we would expect to see G&A or some of those – especially G&A would pick up because of having hedged headcount still on but it’s been very steady for the first nine months of the year. So it seems like if it’s an integration cost those are typically onetime issues or onetime costs that eventually go away. So it looks like that might have been like a penny or two to the quarter if we kind of look at what’s been for the first half of the year, I was just curious.
Jack Judd: Overall accretive was about a penny.
John Baliotti – Janney Capital Markets: Great. Okay, thanks very much.
Operator: Thank you. Our next question is coming from the line of Ben Hansberger [ph] with Stevens. Please proceed with your question.
Unidentified Analyst: Hi, thanks for taking my questions, maybe one for you Jack. We’ve seen a big jump in CapEx, obviously you’ve had some big projects that you’ve completed this year. Is the expectation that CapEx kind of normalizes at a lower level next year or there is some more big projects in the pipeline?
Jack Judd: Thank you for these questions on the capital side. This year has seen a lot of capital and some of them was opportunistic with buildings that we’ll tend not to repeat. We also are spending in amount of capital on new services because as you can guess we have to have a lot of equipment onboard before we have the revenue when you roll out a service. Yes, next year should see more of a normalization, again, if you take to see equipment side of our business, the CapEx should be between 8% and 12% of revenue, and if I had to make a prediction right now, of course which will updated will be more on the lower side of that next year than the upper side.
Unidentified Analyst: Okay, thank you for that. And, not to beat a dead horse but just one more question on Europe, is there anything that you can do or is there anything in the pipeline that you expect to implement to really try and mitigate the slowdown over there or is that really just a down cycle there in the macro headwind that is going to be difficult to overcome to an extent?
Vicky Holt: I think there is two things we’re doing. First, we talked about really doubling down in sales and marketing in Europe and there is a couple of very specific CapEx we’re using around marketing in order to increase developer engineering customers, as well as new customers. And then the other piece is what we’re doing with the sales team in Europe, in terms of adding a sales team that will be launching our national account management selling technique in Europe as well. So both building and investing in that sales team and doubling down in marketing. We’ll also be launching our late turn part service in Europe simultaneously with what we’re doing here in North America and I think that will bring some value there as well.
Unidentified Analyst: Okay. And the new sales team in terms of when they are placed in Europe, you said that was early fiscal year 2015, is that correct?
Vicky Holt: Correct. In terms of having everybody in place and trained on the new techniques in place, we’re hiring as we speak, so we’ll be adding here in the fourth quarter as well, and then kicking off the national account management program in the next year.
Unidentified Analyst: Excellent. Thank you very much.
Vicky Holt: Thank you.
Operator: Thank you. Ladies and gentlemen, we have reached the end of our question-and-answer session. I would now like to turn the floor back to Ms. Holt for any additional concluding comments.
Vicky Holt: Thank you again for joining us today. We remain extremely optimistic about the outlook for Proto Labs and its continued growth and profitability despite the current economic conditions in Europe. We’re extremely well positioned to pursue a large and growing market and we’re forecasted on maintaining our long term financial model, and I’m confident in our success. I’d like to thank our employees for their hard work and dedication, and our investors for their continued support. I also want to extend a special thank you to Jack Judd for all the contributions he has made to Proto Labs over the years. Jack and I will be available today and the rest of the week if you have further questions. Thank you.